Operator: Good afternoon, and thank you for standing by, and welcome to the Eventbrite First Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Ms. Katherine Chen, Head of Investor Relations. Please go ahead. Katherine Chen Good afternoon, and welcome to Eventbrite's first quarter fiscal year 2022 earnings call. Prior to this call, we released our shareholder letter announcing our financial results, which can be found on our website at investor.eventbrite.com. Before we begin, I would like to remind you that during today's call, we will be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, April 28, based on factors that are currently known to us and that actual future events or results could differ materially due to several factors, many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to the section titled Forward-Looking Statements in our shareholder letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we will present adjusted EBITDA and adjusted EBITDA margin, non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles and have limitations as an analytical tool. You should not consider them in isolation or as a substitute for analysis of our results of operations as reported under GAAP. A reconciliation to the most directly comparable GAAP financial measure is available in our shareholder letter. We encourage you to read our shareholder letter as it contains important information about GAAP and non-GAAP results. And with that, I'll turn the call over to Julia Hartz, Co-Founder and Chief Executive Officer.
Julia Hartz: Thank you, Katherine and thank you, everyone for joining us today. I hope you and your families are healthy and that you've been able to get back out and enjoy the thrill of live events once again. As I look at the progress we've made in the first quarter, I'm feeling increasingly confident about our strategy, our connection to creators and the products we're building for them. Our entire team is united around a singular focus to build the best marketing and ticketing platform for frequent creators. Our momentum toward that goal is feeling tangible success for creators on our platform and we believe our impact will be amplified as live events continue to rebound. A few numbers from our first quarter illustration's key takeaways. We grew the numbers of paid creators transacting on our platform by 60% year-over-year. Thanks to the ongoing recovery of live events and the accumulating strength of our product and marketing investments. We then converted that 60% growth and paid creators into a 76% increase in paid tickets by focusing on the needs of frequent creators and helping them connect with even larger audiences. And we leveraged 76% growth in paid tickets to achieve a 100% increase in revenue. Thanks to an uptick in average ticket value and take rate improved by product advances and sustainable business model improvements. Now, when you combine that revenue flywheel together with expanding gross margins, strong operating leverage and our third consecutive quarter of positive adjusted EBITDA, you can see why we're excited about our strategy and our momentum. Going a little deeper, we have delivered several key product wins this quarter, and this is where our product led strategy is delivering impact above and beyond the recovery of our industry. We rolled out a brand new and much improved creator navigation experience during the first quarter and already nearly half of the creators have adopted this upgraded user experience. Many customers are reporting their new discovery of existing features that they simply had never known about. Meanwhile, adoption of calendar collections and more advanced reporting functionalities are increasing, and we believe these deepening usage patterns will help strengthen customer retention over time. We introduced a new paid email feature within Boost at the start of the quarter and this premium priced offering is proving to be just as highly popular among creators as we anticipated. Since January, more than one third of Boost, new subscribers have been drawn in by premium paid email. Our creators total email campaign volume has increased by more than 50% over the same timeframe. One of our featured creators Live [ph] is producing some of the most sought after parties in the country right now. He has over 91,000 email subscribers in Los Angeles alone. Prior to using Eventbrite's premium email campaign tool, he struggled to get a strong click through rate for his weekly emails. Now it [ph] estimates that email sent via Boost are three times more effective than other services he's tried because his customers trust the event right brand. We also upgraded Boost social media marketing features in the quarter, adding AI generated keyword recommendations and automated audience targeting. Both of these features save creators time and leverage Eventbrite's extensive live events data. Creators have now marketed more than 30,000 events via Boost and the average return on ad spend among these users has been an attractive five to one return. The last set of Q1 product wins I'll call out today's center on improving the customer checkout experience. Upgrades to the ticket by our payment experience have lifted checkout conversion rates and delivered a direct sales volume benefit to our creators. We also added Apple Pay in our largest markets in the first quarter, and this too shows encouraging signs for conversion rates. When we step back and take the full measure of our product initiatives, a few key themes stand out. First, our focus on frequent creators means that our product roadmap addresses the needs of the largest and broadest set of creators in our market. As a result, new products we introduce are making faster, wider ripples across a large base of valuable customers. Second, our commitment to delivering a self-service product experience means we are continually redesigning for greater ease and efficiency. These are value propositions that resonate with busy creators and strengthen our user loyalty. And third, our close connection to our creators means that we have an intimate understanding of their needs and expectations. This reduces the risk and increases the probability of success associated with our product investment decisions. While the creators we serve are often individuals or small nimble teams, our platform serves these businesses collectively adding enormous scale. Over 300,000 creators chose Eventbrite to power nearly 1.4 million events during the first quarter. We transacted over 62 million tickets to these events, which translates to nearly 700,000 tickets processed every day, all around the world. We believe our ticketing volume places Eventbrite at the top of our industry and we are committed to extending our leadership positions. Our commitment is not only to help new creators join the live experience of economy, but also to build a strong creator community where all participants can benefit. For example, we're extending our industry reach beyond our product investments, into the vibrant community of creators who rely on Eventbrite. In Q1, we announced the launch of two new programs aligned with our customers, the CREATORS COLLECTIVE and the RECONVENE accelerator. The CREATORS COLLECTIVE is an ambassador program for established event influencers to connect with us and each other, setting the agenda for our reconvene summit and series and amplifying their work across our marketing channels. The RECONVENE accelerator will sponsor emerging creators with grants and mentorship opportunities. These initiatives generate valuable insight for our product development team to incorporate into our roadmap. Looking ahead, we'll continue investing in our frequent creator tools as we also lean into a continuous release cycle for Eventbrite Boost. We're developing Boost into a comprehensive solution for both paid and free creators to manage their events, engage their communities and raise their brand awareness. Features like organic, social media, new social media integrations, and promoted content are all in different stages of development and we look forward to updating you on these in the future. Demand generation within Boost is an attractive opportunity with strong interest and appeal among our creators. We're making progress on product development here and actively assessing the best paths to monetization. As Eventbrite freight driven tickets are already a valuable benefit for creators who host events on our platform, these tickets made up 26% of total ticket volume in the first quarter. That's equivalent to over $174 million in gross ticket sales. That's a remarkable number that really highlights the existing sophistication of our demand generation capabilities. It's also why we're so encouraged about the impact we can drive for creators as they work to build bigger audiences. Another area of Eventbrite leadership will be our social impact program. As everyone on this call knows, our mission is to bring the world together through live experiences and an important offshoot of that mission is the impact we can have on combat the negative mental health consequences of social isolation. We believe we're uniquely positioned to activate creators and events on our platform to help alleviate isolation, especially among young people. We'll have more details to share when the program launches next month. We're kicking off 2022 with strong by financial results that reflect the recovery of live events, accentuated by the impact of our product-led strategy. Like me, our whole team is energized by the progress we've achieved and the opportunity ahead. Our product roadmap will accelerate throughout the year with marketing tools and demand generation shifting upwards on our priority list. And we remain well positioned in a highly attractive market as the leading ticketing solution for independent entrepreneurial creators. These are the people who are fueling the next phase of growth for live events. And our team is laser focused on this momentum. We're excited to share more details about our strategy and see many of you in person at our Investor Day on June 2. As we look forward to those updates, I have one more important announcement to share today. We're always looking for new perspectives and expertise to inform our strategy and strengthen decision making. Our board of directors is highly engaged in these areas and I'm thrilled to announce that April Underwood has been nominated to join our board. Later this year. April is an experienced public company board director and has a wealth of product knowledge gathered through her impressive career at places such as Slack, Twitter and Google. On behalf of the entire team, I want to thank our creators, our employees, and our shareholders for your ongoing support and dedication. Now, let me turn the call over Lanny.
Charles Baker: Thank you, Julia. As you just said, our strong first quarter financial results reflect clear strategy, focus, execution and the inherent strength of a product driven business model that places the needs of our customers at its very core. It's not a coincidence that our own strong growth in the first quarter of 2022 comes at the same time that creators on our platform are attaining new heights in their businesses, specifically paid tickets per creator and gross ticket sales per creator, both grew at double-digit rates year to year in the first quarter, a clear sign of the success creators are having on our platform. First quarter revenue of $55.9 million, more than doubled last year's first quarter results and surpassed our expectations for the period. As the external environment for live events improved after early February and with our own product and marketing investments contributing to creator acquisition and volume growth, we achieved strong month-over-month growth throughout the first quarter. In fact, after a relatively slow start in January, March 2022 was the best month for gross ticket sales and for revenue that we've seen since the pandemic hit in early 2020. The revenue growth we achieved in the first quarter to be linked right back to the key business metrics we've shared with you, as these really out of the gears that drive our revenue engine. Over 135,000 event creators, ticketed and marketed nearly 440,000 paid events on our platform during the quarter, increases of 60% and 32% respectively over last year's first quarter. In March, we surpassed 100,000 monthly transacting creators for the first time since early 2020 and for the quarter, the number of paid frequent creators grew by 40% year-to-year. With more frequent creators on our platform, the number of paid events per creator, averaged 3.2 events for the quarter up from 2.7 events in the same quarter of 2019, prior to the pandemic. Paid tickets per event improved by 34% over last year's first quarter, reflecting strong consumer demand, as well as our ability to connect creators with audiences. Average ticket value grew 5% year over year reaching its highest level in two years. And finally, our revenue take rate improved by more than half a percentage point year over year, which helps propel revenue per ticket to $3.09 for the quarter, which is above what we saw even in the two years prior to COVID. Turning to the profitability side of the equation, gross margin was 64.3% in the first quarter, nearly 14 percentage points higher than a year ago, driven by higher revenue against the partially fixed cost of revenue structure. Total operating expenses grew 26% year-to-year, reflecting purposeful investments into our product and our team. Almost 40% of our offering expenses are now dedicated to product development. We're managing all expenses carefully amidst what has been a highly competitive talent market and in an environment where our revenue has been growing 100% plus year to year. Adjusted EBITDA with the quarter was $2.4 million representing an adjusted EBITDA margin of 4% compared to a loss of $8.5 million in the first quarter of 2021. Comparing that year-to-year change in adjusted EBITDA to the year-to-year increase in revenue in the first quarter, we delivered a revenue flow through rate in the high 30% in the first quarter, which aligns with our objectives for driving adjusted EBITDA profitability and sustainable margin improvement as ticket volume and revenue grow through time. Finally, our balance sheet is also strong at the end of the first quarter. We ended the quarter with $710 million in cash and cash equivalence, a net liquidity of $355 million, ample funding to support our investments and our growth objective. Turning to our business outlook, based on the information and expectations we have today, we anticipate second quarter revenue to be between $60 million and $63 million, representing double-digit growth at the midpoint over our first quarter results. This outlook reflects a stronger Q1 to Q2 revenue progression that we've seen historically pre-pandemic. And the primary factor behind that difference is the softness we saw at the start of the first quarter. We are prepared for the possibility that COVID related impacts could lead to greater than normal month-to-month volatility in results. Longer term, the product and customer momentum we've built up over the last 24 months and are higher than anticipated first quarter results, provide real encouragement that are product-led strategy can lead to strong and sustainable revenue growth, accompanied by steady margin improvement. We look forward to taking a much deeper dive into our long-term growth strategy and our financial plan when we meet live on June 2nd at our Investor Day. And with that, I'll turn the call over the operator for the question-and-answer portion of the call.
Operator: [Operator instructions] Our first question goes to Ryan Sundby with William Blair. Ryan, your line is open, please. Go ahead.
Ryan Sundby: Yeah, thanks. Hey Julia. Hey Katherine. Thanks for the questions. Yeah, really great to see revenue and pay tickets volume succeed expectations despite I guess all the headwinds we've seen so far this year. I think in the shareholder letter, you talked about a surge in events from January to March as omicron waned. Can you just zoom in a little bit more and talk about what that recovery looked like intra quarter because I would assume a lot of those 18 million paid tickets were heavily waited to March, which sounds like the best month since the start of the pandemic.
Charles Baker: Ryan, you're right. March was the best month that we've seen since the start of the pandemic and particularly so in the phase side of tickets and in the volume of tickets, as well as transacting craters. So it's a really strong month. Now normally, the progression from December to January to February to March is, kind of like a 5% increase in January and then a 5% increase in February and then the stronger kind of mid-teens increase in March. This year, we saw a big downtick between December and January. It's hard to remember now, but that's really when Omicron was sweeping across the entire United States and putting a real restriction on local gatherings. But that abated and we saw, probably three, four, five times as much month over month growth in February and March as we normally see in those months. And so, but if you sort of put it all together, Ryan, I think that's where I think the real kind of the big takeaway comes because the month to month stuff is not so interesting. If we look at where we are in March relatively where we were in December, we're about 10 plus points ahead of where we would be normally and or kind of normal seasonality. So we've fully come back and done some. And I think as we said, a lot of that could be attributed to the product momentum, the marketing momentum and the leadership that we have in the category really seems to be helping us out in this improved environment.
Ryan Sundby: Right. That's great to here. Nice to see it all come together. On the revenue per ticket reaching at its highest quarterly level since 2018, I think there are a couple factors there, higher average ticket values, improve take rate decline in ticket refund activity. Could, you re-size each of those for us? And then I guess with the improve take rate, is that due to a change in pricing or mix or is that more of reflection of some of the new tools you added with things like Boost?
Charles Baker: It's not really due to Boost. So let me try to break it down. The take rate has improved primarily because of focus on frequent creators and the product market fit that we have between our software, our solution, our platform, and frequent creators is just -- it's valued by frequent creator, very, very highly. They are -- they're our wheelhouse and there's a strong recognition of Eventbrite being the solution for them and that certainly helps from a pricing perspective. Secondly, we have seen a little bit of an improvement in ticket price about 5% year-over-year, but the year-to-year increase in revenue per ticket has been kind of low teens. So you can think of it as five points of improvement in the price of the ticket and another call it seven or eight points in growth from the take rate. And that improvement in the take rate has had, there's a little bit of a reduction in the reserve or sorry refund activity. But, I think more than anything else, it's been really kind of that focus on our core customers who value the product most highly and frankly, if you look back, we compared the revenue per ticket to where we were in 2018 and 2019. And we did that to show that we're, the number one to explain to people, hey, we're at a level that we haven't been at before. And number two when we think, and any customer looks at the difference in our product today versus where it was in 2018, 2019, we've made substantial progress, and I think that's, what's being reflected in the revenue per ticket.
Ryan Sundby: Got it. And maybe I think for me it sounds like you're seeing free and pay traders trying to take up more of these tools like calendars. On the free side, are you starting to see the adoption of some those tools start to drive conversion and paid yet or are we maybe too early for that?
Julia Hartz: One of the things about the free event creators that we like is that they're discovering the capability to market their events and reach wider audience through Boost. So 20% of Boost customers today are free event creators and Boost is a paid subscription service. So it's really the first time in Eventbrite's history, where we've been able to offer something of great value to professional creators who are hosting free events, and they are paying for that value, which includes particularly the ability to market their events efficiently out in social media, as well as most notably what's driven this uptick in free creator adoption of Boost has been our premium email campaign. So we're seeing about an increase of about 50% volume of our premium email versus our legacy email tool. And predominantly that's speaking to these creators of large free events. Where the revenue is not necessarily in the ticket price that's why it's a free event, but the revenue is actually elsewhere within the event. So it's either lead gen or its food and beverage or it's merchandise. So we'll continue to lean into that opportunity. And that's really what we saw as some early signals here in the quarter. In terms of conversion from free to pay paid Ryan, I would say that what helps us on that is building trust with those creators, such that they're bringing over their paid events and then also giving them insight into what they could be making if they charged a ticket price for their event, but that's longer cycle. That's not something that we'll see right away, usually when somebody signs up on the platform.
Ryan Sundby: Makes sense. Yeah. See you guys in June. Thanks.
Julia Hartz: Thanks Ryan.
Operator: Thank you, Ryan. Our next question goes to Cameron Perrone with Morgan Stanley. Cameron, your line is open. Please go ahead.
Cameron Perrone: Thank you for taking the question. Hey guys. First on growth margin understanding that it was up year-over-year, it tick down a little bit sequentially. So anything you guys can call out there or should we just expect to see a little bit of noise in that quarter to quarter. And then to follow up on the paid ARPU strength for the 5% contribution coming from kind of core price call it, are there types of creators or events that you can kind of intentionally foster to drive rate, or is it they are in the core pricing front kind of less of a managed outcome?
Charles Baker: Sure. I'll take the first one on the gross margin, if you look at where we were in the fourth quarter to where we were in the first quarter, half of the change in gross margin was just due to the change in revenue level against some of the fixed costs that exist within cost of revenue. So that piece, as we recover from where we were at the very start of the year and start to scale, ticket volume and revenue higher, that, so we're reverse, I think pretty quickly. There also at the start of the year in that Omicron environment was a little bit higher refund activity we anticipated a little bit higher refund activity. So there's another small portion of the gross margin comparison first quarter versus fourth quarter that included a higher reserve rate for future refunds, that too should unwind in a more normal environment. And then the last small difference where some of the composition of where ticket sales were occurring geographically, not every part of the world has the exact same transaction processing costs and we have a little bit more volume in some of our more expensive markets this quarter, relatively last quarter. But I think kind of zooming out on that question from the month to month and quarter picture, we've said it before and we'll say it again, our cost base within there's a portion of the gross profit that is fixed. Most of it is sorry, the cost of revenue that is fixed, the variable expenses are about $0.25 on the dollar and so as the dollars, the revenue grow, we would expect that the gross margin continues to move upward kind of in a gradual steady rate to a number in the high 60% to 70% manage.
Cameron Perrone: Got it. Helpful.
Charles Baker: On your second question, I'll take a -- I'll start and Julie, you can add to this. The strength that we've seen so far in the revenue per ticket and in the take rate it really does reflect a focus, a customer focus and that is it sort of stands to reason that your primary customers who value your product the most for whom it is the best solution and the tightest fit to all of their needs. Other place where you face, we see, we enjoy the best pricing and we have, there been other parts, the fringes of our model where we've had the discount in the past that we don't have to discount today. The competitive dynamic has changed. So really what you've seen from a pricing perspective is a focus on the healthiest customers and on the best customers in the marketplace, rather than any step function change on pricing that we've taken. We have not done that. As Julia talked about a moment ago, boost is our premium email product is an incremental fee and those things over time will drive the take rate. They're very, very small today. In terms of your question about different types of events that we could -- that we could think about Julie, maybe you could talk about that.
Julia Hartz: Sure. So typically speaking, we see higher ticket prices in music, in business, professional events, as well as bigger episodic events and so, I think as the mix shift continues to play out, as events start coming back, as businesses start thinking about hosting more conferences as music venues are opening up more shows and then as bigger gatherings where you see sort of more of the, 1,000 to 10,000 people gathering around a festival start to come back, I think we'll start to see a stronger average ticket price and we will see our revenue scale with that. I would say that Lenny's point on delivering value to our customers and them understanding that value is a key point for us in any pricing scenario. So, when I talk to creators today, they're really appreciating Eventbrite for our brand value. So their customers are opening emails from them when they're sending it through Eventbrite because they recognize the brand, they're trusting that event because the event is on Eventbrite. So a lot of our customers use the words validating and they're -- and they're seeing what we're doing in marketing. And they're getting really excited about it. So it's early days for us. We're pushing into marketing and demand generation, but the savvy frequent creators that we're focused on can see what we're doing and they want this help. So the value conversation is shifting. And I think that will be a really good thing for us, as we think about pricing in the future and how we deliver this great -- that's great product.
Cameron Perrone: Makes a lot of sense. Thank you, Julia. That's all I had. Thanks guys.
Operator: Thank you, Cam. Our next question goes to Lamont Williams with Stifel. Lamont, your line is open. Please go ahead.
Lamont Williams: Hi, good afternoon. Thank you for taking my question. The first question is, is there anything you can discuss about April? It seems that we've seen some COVID kind of surgeons in some markets, and I just kind of get a feel of if the transition after a strong March is kind of trended up and continue into April, or haven't kind of seen a little a bit from this location with some of the COVID resurgence? And then secondly, Lanny, in terms of kind of the investment that you're doing in product development and some higher head count costs. Is there any kind of color you can give us around the progression of an investment kind of over the next couple of quarters through the balance of the year?
Charles Baker: Sure. I think, April or we haven't made any comments about April not going to do it right now, but I would say comparing what we're seeing right now with Omicron to with COVID to what we saw in January and February is like not even a close comparison. It's hard now to remember, but if you do spend a minute, just go look at any of the graphs of the infection rates that were prevailing in late December and into January on COVID, it was a straight up line there for several weeks that really was changing the live gathering marketplace and we don't see that happening. And as we've said now, for kind of two years, you can take a pretty -- there's a pretty direct reverse -- inverse correlation between a surge code and a decline in ticket purchasing for live events, as well as a lot of other things. But you're just not seeing that kind of case count right now. So it hasn't been so far hasn't been much of a disturbance at the end of the first quarter. In terms of our investment in product development and headcount, we're really excited. We've made over 150 hires since the start of this year. The bulk of that has been engineering and into some really key engineering roles that go from the back end and our data teams through the frequent creator kind of core product offering and particular into some of the things that we're talking a lot about around Boost and demand generation and the consumer side of our business. So we're really excited about the progress we've been able to make there. It's been purposeful, it's been planned out for this year and frankly, as part of kind of a three-year strategy that we've been talking about now. So I think you'll see a fairly steady progression there as we continue to add to the team, that's bringing the product to market, that's the difference between the external environment and the growth rate of the company, which is getting clear and clear.
Operator: Thank you, Lamont. Our last question goes to Dae Lee with JPMorgan. Dae. Lee, your line is open. Please go ahead. It
Dae Lee: Great. Thanks for taking the questions. I have first one for Julia. Feels like pent up demand and desire to connect are clearly driving strong momentum in your business. But looking ahead, investors are increasingly concerned about macro factors, including inflation weighing on consumer demand. So, actually look ahead to peak events and how do you feel about the durability of the strong momentum that you're seeing in the business right now and are you seeing any signs of consumer demand softening in your business? And then secondly for Lanny [ph], I'm sorry to go back to net revenue per ticket again, but judging by what you said so far, it feels like the drivers of the strong performance this quarter appears to be sustainable. So as we look ahead, is this a gun level of never net revenue per pay that you can expect from your business?
Julia Hartz: Yeah, thanks so much for the question. So when I look ahead at what we're all facing in terms of an impending recession and obviously the current inflation that we're experiencing, I'm not concerned about the durability and resilience of our business and that's twofold. One is that we've already lived through a recessionary period as a company. In 2009 what we saw obviously on a different scale than where we are today, but what we saw happening on the platform is people getting out and gathering even more. So there were a few different societal and secular trends that we saw going on during that time. One is that everybody who was looking for a job needed to be out and be networking to find their next job. So we saw a huge rise of networking and professional skill building conferences and workshops and the second thing is that we tended to see more event categories around hedonism rise, like music and food and beverage interestingly enough. So what we know about the consumer trends in our market, where there are millions of events in the average ticket price is around $40, is that these types of gathering and these behavioral trends that we've seen in the past have a high likelihood of repeating themselves in the future. The second thing is that since March of 2020 Eventbrite is a structurally different company, and as we've really thoughtfully built back from that place of taking a $100 million plus out of our OpEx, we have built back in a much more resilient manner. You can see it in the way that we're investing, where we're investing in how we're investing and the profitability of the business. So I would say we are battle tested. We have a plan for the future that includes many difference in scenarios and so that's what keeps me confident is both the longevity of Eventbrite and what we've seen in the past, as well as the preparation that we've taken for the future. And then finally, I'll just say that our event creators, the ones that are hosting these events that are happening multiple times a month in a week, they all business owners that are very savvy and entrepreneurial, and they've been through a really tough period of time during COVID. And so the creators that are on the platform are the ones that have figured out how to operate through as tough of an environment as you can imagine in live experiences. So I have a lot of faith, and I know that those three factors will get us through the future
Charles Baker: On the take rate question and it's not just a take rate question, it's really a unit economics of revenue per ticket. A couple things I'd say, let's start with a ticket price. Our ticket price this quarter, you could see was just below $30, just low $40, $39.70 and if you were to go back to kind of 2018, 2019 there, and look at the ticket prices prevailing at that time, there's another 10% or 15% growth in the average ticket value to get back to where we were previously. One thing we did see right at the start of COVID was because I think because a uncertainty of when an event happen, would it not happen, there was some kind of across every category across every market, across every format pricing in of some of that uncertainty that led to ticket prices kind of in every category, in every format to come down a bit and that seems to be reversing right now. So there's that kind of cycle at 10% to 15% in ticket prices potentially. That's one part of the drivers of our revenue equation that, we don't frankly control entirely. That's really a matter of the product market fit between the creators, the creators creation and attendee interests, as well as their ability to market those events very, very well and drive demand for them. But, there's that. Over the same timeframe we've improved the take rate by probably three quarters of a percentage point. And I talked about that earlier. That's been a focus on high value customers and a lot of investment in improving the product so that it has a great fit, it's driving their success. We look at one of the first comments that I made in my prepared remarks was that tickets per creator and revenue per creator, or ticket sales value per creator, is that just it increases year over year. And when we're helping enable that, it's certainly helpful to sort of celebrate our products effect in that success for creators and that leads to pricing power for us and that's reflected in the take rate. As we look forward on the take rate, there's a little bit of the room probably to continue to move it up on the core product but I think the biggest opportunity for us is really some of the stuff that we've been talking about, Julia's talking about today around Boost and around demand generation and bringing entirely new pockets of support and service and growth to the table for creators and we know they have a interest in those things. They have a willingness to pay for demand generation. They have a willingness -- they have an ability to pay for incremental ticket sales and those would be the places where I would look -- we are looking for the most long term upside in the take rate. So it's not really about kind of pricing on the core product. Our big opportunities are really to touch more and serve more of the creators operating budget and most creators spend between 20% and 40% of their budget on marketing. That's a very, very sizable addressable market right next door to the part of the market that we're already addressing pretty profitably and with some real growth.
Dae Lee: Okay. Thanks for insight.
Operator: Thank you, Dae. That concludes today's Eventbrite first quarter fiscal year 2022 earnings conference call. Thank you for your participation. You can now disconnect your line.